Operator: Good day and thank you for standing by. Welcome to the Matson’s Fourth Quarter 2023 Financial Results Conference Call. [Operator Instructions] Please be advised today’s conference is being recorded. I would now like to hand the conference over to your speaker for today, Justin Schoenberg, Director of Investor Relations. Please go ahead.
Justin Schoenberg: Thank you, Lisa. Joining me on the call today are Matt Cox, Chairman and Chief Executive Officer; and Joel Wine, Executive Vice President and Chief Financial Officer. Slides from this presentation are available for download at our website, www.matson.com, under the Investors tab. Before we begin, I would like to remind you that during the course of this call, we will make forward-looking statements within the meaning of the federal securities laws regarding expectations, predictions, projections or future events. We believe that our expectations and assumptions are reasonable. We caution you to consider the risk factors that could cause actual results to differ materially from those in the forward-looking statements in the press release, the presentation slides and this conference call. These risk factors are described in our press release and presentation and are more fully detailed under the caption Risk Factors on Pages 14 to 24 of our Form 10-K filed on February 24, 2023, and in our subsequent filings with the SEC. Please also note that the date of this conference call is February 20, 2024 and any forward-looking statements that we make today are based on assumptions as of this date. We undertake no obligation to update these forward-looking statements. I will now turn the call over to Matt.
Matt Cox: Okay. Thanks, Justin, and thanks to those on the call. I’ll be starting on Slide 3. Matson’s Ocean Transportation and Logistics business segments performed well in the fourth quarter, capping off a solid year for both business segments. Matson is in a solid operational and financial position. We are the leading expedited ocean freight provider in the Transpacific, and we’re well positioned for growth in our Jones Act and logistics markets. Our balance sheet is strong with a low-cost capital structure and low leverage. We are in a very good funding position on our new Aloha Class vessels with the program two-thirds funded at year end with approximately $600 million in our capital construction fund. And lastly, we returned approximately $203 million to shareholders in 2023 in the form of share repurchases and dividends. For the fourth quarter, within Ocean Transportation, our China service experienced solid freight demand with higher year-over-year volume, but lower year-over-year rates, which, when combined with higher operating costs across all tradelanes, resulted in a year-over-year decline in operating income. In logistics, operating income declined year-over-year primarily due to a lower contribution from transportation brokerage. I will now go through the fourth quarter performance of our tradelanes, SSAT and logistics. So please turn to the next slide. Hawaii container volume for the fourth quarter declined 1.9% year-over-year due to lower general demand. Volume in the fourth quarter of 2023 was 5.1% lower than volume achieved in the fourth quarter of 2019. Tourist arrivals in the fourth quarter were modestly lower year-over-year as tourism to Maui was impacted by wildfires. For the full year 2023, container volume decreased 3% year-over-year, primarily due to lower general westbound demand and lower eastbound volume. For the full year 2024, we expect volume to be comparable to the level in 2023, reflecting modest economic growth in Hawaii and stable market share. Please turn to Slide 5. The Hawaii economy held up well in 2023 despite high interest rates, high inflation, a modest decline in population and headwinds to tourism from the Maui wildfires and the slow return of international visitors. According to UHERO’s December economic report, the Hawaii economy is predicted to grow modestly in 2024, underpinned by a low unemployment rate and easing inflation. Construction jobs are projected to increase due in large part from government-related projects as well as initial rebuilding efforts in Maui. Near-term growth in visitor arrivals is expected to be challenging due to reduced tourism to Maui as a result of the wildfires last year and sluggish recovery of international tourism. Moving to our China service on Slide 6. Matson’s volume in the fourth quarter of 2023 was 23.3% higher year-over-year, primarily due to higher demand for the China service, resulting in higher volumes for both the CLX and CLX+. We achieved average freight rates in the quarter that were lower than the year ago period, but well above those achieved in the fourth quarter of 2019. For the full year 2023, container volume decreased 13.7% year-over-year primarily due to the CCX volume in the first 9 months of 2022. Recall that we discontinued the CCX service in the third quarter of 2022. Please turn to Slide 7. Currently, in the transpacific marketplace, we continue to see steady U.S. consumer demand. As is typical in the Transpacific tradelane, our CLX and CLX+ vessels experienced light volume coming out of the Christmas and New Year period, but near capacity as we approach Lunar New Year. We expect the post Lunar New Year period to be more traditional, the factories closed for a couple of [Technical Difficulty] workforce slowly returning to work. As we did in the prior year, we decided not to sail the CLX+ vessels from Shanghai for a few weeks because the cargo package could be accommodated with a weekly CLX departure. We currently expect volume demand to gradually recover over a 4 to 6-week period as factories return to normal post holiday. For full year 2024, we expect similar demand for our CLX and CLX+ services as in ‘23 and average freight rates to be modestly higher and above pre-pandemic freight rate levels. To date, our China service has seen a very limited effect from the supply chain disruptions caused by the Panama Canal drought and the events in the Red Sea. Depending on the duration and evolution of these situations, it’s possible we can see further impact on our expedited ocean services. We know more customers are evaluating their shipping options in light of these events but we’re not aware of any material changes to our customers’ cargo routing. Regardless of the uncertainty of these and other events, we’re focused on maintaining the two fastest and most reliable ocean services in the Transpacific. Lastly, on February 18, we renamed the CLX+ service to the MAX, Matson Asia Express. CLX+ was introduced in 2020 to accommodate extraordinary demand for Matson’s expedited Transpacific service during the pandemic and has had industry-leading performance for the last 4 years. We’ve rebranded the CLX+ to MAX to reflect this highly differentiated service, including a recently added sixth ship that provides scheduled flexibility to ensure a weekly departure from China. MAX is the only liner service in the transpacific trade lane, providing customers with this unique service element. Please turn to the next slide. In Guam, Matson’s container volume in the fourth quarter of 2023 increased 2% year-over-year. The increase was primarily due to higher general demand. Volume in the fourth quarter of 2023 was 4.2% higher than the level achieved in the fourth quarter of 2019. For the full year 2023, container volume decreased 4.7% due to lower general demand. In the near term, we expect continued improvement in the Guam economy with low unemployment rate and a modest increase in tourism. For 2024, we expect container volume to approximate the level achieved last year. Please turn to the next slide. In Alaska, Matson’s container volume for the fourth quarter of 2023 decreased 0.6% year-over-year. The decrease was due to lower export seafood volume from AAX, partially offset by higher northbound volume due to an additional sailing and higher southbound volume due to higher domestic seafood volume. Compared to the fourth quarter of 2019, volume in the quarter was 20.3% higher. For the full year 2024, we expect Alaska volume to approximate the level achieved last year. Please turn to Slide 10. The Alaska economy continues to show good economic growth and improvement in key economic indicators despite flattish growth in population. In 2023, the states saw widespread job growth across almost every industry and the Alaska Department of Labor projects continued job growth in 2024. In the near term, we expect the Alaska economy to grow supported by low unemployment, job growth and lower levels of inflation. The state’s economy is also expected to benefit in the near and medium term from increased energy-related exploration and production activity as well as significant infrastructure investment funded by the federal infrastructure bill by the Inflation Reduction Act. Please turn to Slide 11. Our terminal joint venture, SSAT, increased $3.1 million year-over-year to $4.1 million. The higher contribution was primarily due to higher lift revenue partially offset by lower demurrage revenue. For the full year 2023, SSAT contributed $2.2 million, reflecting a year-over-year decrease of $80.9 million, primarily due to lower demurrage revenue. In 2024, we expect contributions to be higher from increased lift volumes. Turning now to Logistics on Slide 12. Operating income in the fourth quarter came in at $8.9 million or approximately $3.9 million lower than the result in the year-ago period. The decrease was primarily due to a lower contribution from transportation brokerage. For the full year 2023, operating income was $48 million, reflecting a year-over-year decrease of $24.4 million. The decrease was due to a lower contribution from transportation brokerage and supply chain management. For 2024, we expect operating income to be lower than the level achieved in 2023. For transportation brokerage, we expect challenging business conditions at least through the first half of 2024. We expect demand for our freight forwarding supply chain management and warehousing business lines to be comparable to 2023. And I will now turn the call over to Joel for a review of our financial performance. Joel?
Joel Wine: Okay. Thanks, Matt. Please turn to Slide 13 for a review of our fourth quarter and full year 2023 results. For the fourth quarter, consolidated operating income decreased $17.3 million year-over-year to $75.3 million with lower contributions from Ocean Transportation and Logistics of $13.4 million and $3.9 million, respectively. The decrease in Ocean Transportation operating income in the fourth quarter was primarily due to lower freight rates in China and higher operating costs and expenses, including fuel related expenses, partially offset by higher volume in China and higher contributions from Alaska and Hawaii. As Matt just noted, the decrease in logistics operating income was primarily due to a lower contribution from transportation brokerage. We had interest income of $9.8 million in the quarter due to higher investment rates on our cash and cash equivalents and deposits into CCS as compared to the prior year period. Interest expense in the quarter decreased $1.3 million year-over-year due to the decline in outstanding debt in the past year.  The effective tax rate in the quarter was 26% compared to 20.4% and in the year ago period. For the full year, consolidated operating income decreased $1.01 billion year-over-year to $342.8 million with lower contributions from Ocean Transportation and Logistics of $986.4 million and $24.4 million, respectively. The decrease in Ocean Transportation operating income for the year was primarily due to lower freight rates and volume in China and a lower contribution from SSAT, partially offset by lower operating costs and expenses including fuel-related expenses primarily related to the discontinuation of the CCX service and lower fuel costs and the timing of fuel-related surcharge collections. The decrease in logistics operating income was primarily due to lower contributions from transportation brokerage and supply chain management. Please turn to the next slide. The slide shows how we allocated our trailing 12 months of cash flow generation. For the LTM period, we generated cash flow from operations of approximately $510.5 million from which we used $76.9 million to retire debt, $195.5 million on maintenance and other CapEx, $52.9 million on new vessel CapEx, including capitalized interest and owners’ items, $78.6 million in cash deposits and interest income in the CCF, net of withdrawals for milestone payments, $23.8 million on other cash outflows, while returning approximately $200.2 million to shareholders via dividends and share repurchase. Please turn to Slide 15 for a summary of our share repurchase program and balance sheet. During the fourth quarter, we repurchased approximately 0.5 million shares for a total cost of $47.9 million, including taxes. For the full year 2023, we repurchased approximately 2.1 million shares for a total cost of $158.2 million. Since we initiated our share repurchase program in August 2021 through December of 2023, we repurchased 9.5 million shares or 21.9% and of our stock for a total cost of approximately $755 million. As we have said before, we are committed to returning excess capital to shareholders and plan to continue to do so in the absence of any large organic or inorganic growth investment opportunities. Turning to our debt levels. Our total debt at the end of the fourth quarter was $440.6 million, a reduction of $9.7 million from the end of the third quarter. For the year, we have reduced total debt by $76.9 million. I’m now going to walk through an update of a couple of financial items, so please turn to the next slide. The cash balance in the capital construction fund at the end of 2023 was $599.4 million. Based on the remaining milestone payments of $899 million, nearly two-thirds of the program at year-end was funded by restricting cash in the CCS. Note that the two-thirds figure excludes interest income on cash deposits that may be earned in future years. We currently expect to make milestone payments of $35.5 million in each of the second and fourth quarters of this year. Also, we recently executed a strategy to term out a portion of the CCF cash deposits held in short-term U.S. government money market funds with a purchase of approximately $450 million in fixed rate U.S. treasuries to align with milestone payments in 2025, 2026 and 2027. The effective yield of this fixed rate portfolio is 4.53% with an effective duration of 1.9 years. By executing this term out strategy, approximately half of the remaining $899 million milestone payments are in fixed rate instruments, providing a greater certainty around the amount of tax deductible interest income we can expect to receive over the next few years, and the balance of the deposits in the CCF remain in short-term investments of 90 days duration or less. Lastly, we continue to expect to receive a general corporate tax refund of $119 million for 2021 federal taxes. Please turn to Slide 17. The table on this slide summarizes our $248.4 million in capital expenditures in 2023. We had capitalized construction expenditures of $52.9 million, which consisted of milestone payments and other related costs on our new Aloha Class vessels. Maintenance and upper capital expenditures were $195.5 million, of which $71.9 million was for equipment to support network requirements and growth. $66.1 million was for the LNG installations on the Daniel K. Inouye and Kaimana Hila and the LNG installation and reengineering of Manukai and $57.5 million was for other maintenance CapEx across a variety of projects. Please turn to the next slide. Slide 18 shows the key capital expenditures planned over the next 3 years. For 2024, we expect total CapEx of $255 million to $275 million, of which $110 million to $120 million is for maintenance and other CapEx including Phase 2 and Phase 3 work at Sand Island in Honolulu and normal course capital expenditures to support our vessels, shoreside operations and Logistics businesses, $70 million, $80 million for LNG installations and reengineering Manukai and $75 million for new vessel construction expenditures, including capitalized interest and owners’ items. The LNG projects for Manukai and Kaimana Hila remain on track for the vessels to return to service later this year. For 2025, we expect slightly lower year-over-year maintenance and other capital expenditures trending to our trending to our maintenance level of $80 million to $90 million in 2026. We also expect the remaining payments on the LNG projects in early 2025. And new vessel capital expenditures are projected to increase materially in 2025 and 2026 and as our project advances into the construction phases on all three vessels at the Philly Shipyard. With that, let me now turn to Slide 19 and walk through our outlook for the full year and first quarter of 2024. For 2024, we expect year-over-year growth in Ocean Transportation operating income. As in a significant change in trajectory of the U.S. economy, we expect trade dynamics across all our tradelanes to be comparable to 2023 as consumer-related spending activity is expected to remain stable. For logistics, we expect challenging business conditions for transportation brokerage at least through the first half of the year, which we expect to lead to lower year-over-year business segment operating income. As a result, we expect consolidated operating income to approximate the level achieved in the prior year with a quarterly seasonality pattern consistent with 2023. In addition to this full year operating income outlook, we expect the following for the full year, depreciation and amortization to approximate $180 million, inclusive of $24 million for dry-dock amortization, interest income to be approximately $35 million and interest expense to be approximately $8 million, other income to be approximately $7 million, an effective tax rate of approximately 22% and dry-docking payments of approximately $35 million. The interest income outlook we are providing is based on the current CCF deposits and cash and cash equivalents invested at current short-term government money market rates as well as the CCF fixed rate portfolio yielding 4.53%. This outlook does not factor in the cash and interest income from the expected tax refund. For the first quarter of 2024, we expect Ocean Transportation operating income to be lower than the $27.8 million achieved in the first quarter of 2023, and logistics operating income to be lower than the $10.9 million achieved in the first quarter of 2023. As such, we expect consolidated operating income in the first quarter to be lower than the prior year. The first quarter has historically been our weakest period in the year due to seasonality in our Jones Act tradelanes and a slower period of activity in our China business due to the post Lunar New Year period. As for logistics, as I noted earlier, we expect challenging business conditions for transportation brokerage at least through the first half of the year. I’ll now turn the call back over to Matt.
Matt Cox: Okay. Thanks, Joel. Please turn to Slide 20, where I’ll go through some closing thoughts. As I had mentioned in my introductory comments, Matson’s is in a very good position operationally and financially. The strength of the Matson brand is a testament to our market positioning across both business segments and the collective efforts of our employees to serve the needs of our customers. We closed 2023 in a strong financial position. We have low-cost investment-grade balance sheet, which we view as a competitive advantage to pursue growth opportunities as they present themselves. Two-thirds of the current remaining milestone payments in our new vessel build program is funded with cash deposits in the capital construction fund. We completed one LNG vessel project. And by the end of the year, we expect the remaining two LNG vessel projects to be finished with those vessels back in service. There will always be some degree of uncertainty and noise, but we remain focused on what we can control. First and foremost, we’re focused on vessel schedule integrity, reliability of our operation and delivering high-quality service for our customers. This focus has served our company well for 141 years and remains the foundation of our success moving forward. We will continue to maintain discipline in our capital allocation strategy. We invest our capital for the long-term to create value. And in some cases, we are making capital decisions for many decades like our new Aloha Class vessel build program. We currently expect these vessels to be in service in late 2026 through 2027. After that, we do not expect to build any additional vessels until the mid-2030s. We have steadily built a portfolio of high-quality businesses through organic pursuits and acquisitions. We’re always looking for natural extensions to our businesses and to leverage the Matson brand, but we’re also attentive to the returns on capital and long-term cash flow characteristics of pursuing growth. And last but not least, we will continue to return capital to shareholders after funding our maintenance of capital expenditures, long-term investments and dividends. Since 2021, when we initiated our share repurchase program, we repurchased 9.5 million shares or nearly 22% of the then shares outstanding for $755 million. Going forward, we expect to be steady buyers of our shares. And with that, I will turn the call back to the operator and ask for your questions.
Operator: Thank you. [Operator Instructions] Our first question for the day will be coming from Jacob Lacks of Wolfe Research. Your line is open.
Jacob Lacks: Hey, Matt. Hey, Joel. Thanks for your time.
Matt Cox: Hi, Jacob.
Jacob Lacks: So I just want to dig into the 1Q guidance a bit. I guess, what’s driving the lower year-on-year operating income in ocean? And then we’ve seen a big increase in Transpacific ocean spot rates to start the year. And I know your expedited rates are a little different. Do you think there is just a pricing lag there or is there some other reason why this will impact your price as well?
Joel Wine: Yes. Jake, it’s Joel, I will take that. So, the biggest thing we expect a little bit lighter volumes than we had last year on the China business. The rates, as Matt mentioned, are a little bit higher than we had in last – than we were in the first quarter of last year. But on a year-over-year basis, it’s the volume impact that was probably the bigger change there. Our Jones Act businesses are more or less in similar places on a year-over-year basis. So, it’s primarily the China business. And then the other part of your question there is the rate environment. Matt can add in here, too. But what we have said here is that we haven’t seen really any material impact on our China business based upon the Red Sea or other events in international ocean shipping. So, even though some of the commodity price indices like the SCFI and Asia-Europe rates are higher, that’s not necessarily impacting our Expedited segment.
Jacob Lacks: Got it. And is that just seasonality the year-on-year volumes being lower in the first quarter?
Joel Wine: Yes. I mean it’s really annual seasonality, yes, around post-Lunar New Year, and we are seeing a little bit more – a little bit less volume this year than last year.
Matt Cox: Yes. So, Jake, this is Matt. I would just add a little more color. I think we see the pattern that’s emerging in 2024 in the first quarter around Lunar New Year, as Joel mentioned, to be much more traditional. This is really the first year in 4 years that people have had a chance to return to their homes and are taking advantage of kind of a longer shutdown period that were abbreviated during the pandemic for various reasons. And so it’s more a return to normal than I would say anything that is of concern to us about our outlook, which is in part why we still think that the full year we are going to have a year that looks a lot like on a consolidated basis, the year we just finished in 2023.
Jacob Lacks: Got it. Okay. That’s helpful. And then on a sequential basis in 4Q, it looks like operating expenses stepped up despite lower volumes. What are the big buckets driving that?
Joel Wine: Well, on the 4Q, Jake, volumes are actually up quite a bit in China. So, we did have higher terminal handling costs, and we also had higher fuel costs particularly in our domestic tradelanes on a year-over-year basis. And there is also an issue of year-over-year timing of collections. So, we had a little bit more collections on a timing basis in Q4 of 2022, a little bit less than 2023. So, it’s actually fuel price, fuel – timing of fuel collections and volumes in the China business were the biggest drivers of the higher cost.
Jacob Lacks: Okay. So, I was thinking sequentially from 3Q to 4Q.
Joel Wine: Sequentially, yes, the biggest issue there was fuel, the timing of fuel and fuel collections.
Jacob Lacks: Okay. Got it. Okay. And then it seems like we have just – in terms of broader ocean, it seems like we have seen some shift of West Coast imports back, or East Coast imports back to the West Coast. Is this impacting SSAT at all? Does this help get profitability back towards pre-COVID levels, I guess what do we need to get SSAT…?
Matt Cox: Yes. Jake, it’s a good question. I think certainly, we know our customers are looking closely at – we talked about the Red Sea, we talked about the drought in the Panama Canal, the ILA contract renewal. These are all factors that I think are going to inform our customers’ decisions around how they are going to route their cargo into the U.S., the imports that many of our customers have multiple distribution centers and can select where they want to have the imports focused. What I would say is while we know customers are looking closely at these various factors, so far, we haven’t seen any significant movement of customer moves in that direction, although – and nor have we seen any significant changes in deployed capacity by the international ocean carriers, but I do expect that we will see, at a minimum, a return of that cargo, which moved off of the West Coast when the ILWU contract was renewed in 2023. So, we do expect some volume to return to the West Coast that had left during the ILWU contract renewal. The extent and amount are unclear and not yet present, but we do expect some increased volume as a result of some of that as the year progresses in ‘24.
Jacob Lacks: Got it. That’s helpful. Thanks for your time.
Matt Cox: Sure. Thank you.
Joel Wine: Thanks Jake.
Operator: Thank you. [Operator Instructions] And our next question will be coming from Ben Nolan of Stifel. Your line is open.
Ben Nolan: Hi Joel and Matt, long time, no talk.
Matt Cox: Hi Ben.
Ben Nolan: Hi. So, I wanted to dig in a little bit on – I know on Slide #7, you talk about demand for CLX and the CLX+ or, I guess the MAX service now to approximate what it was last year. And it could just be me being seeing more into this than it is really there, but normally, you are talking about volumes approximating year-over-year levels, so you sort of said, demand, and I know you talked about adding a sixth ship as sort of a spare. Is it fair to say that you were – there maybe was some demand that you missed out on because of whatever you just didn’t have enough equipment in place and now you have a little bit more equipment. So, actually, even if demand is equal, your volume could be higher next year, or am I just reading too much into that?
Matt Cox: Yes. Let me take a crack at that. So, from our expectation of what we know now, of course, we will have two weekly departures for the full year 2024 as we did in 2023, except for the handful of CLX+, now MAX wages post-Lunar New Year when the expedited market demand could be accommodated by the single sailing of the CLX service. So, I think what you will see, and we were effectively full once we ramped ourselves back up after this post-Lunar New Year period. So, we expect – there really is no fundamental changes in our expectation at this point about the number of voyages that sixth ship we have added we do not expect will be results in additional voyage. That vessel is there to stand by as a reserve either the CLX or the MAX service because of a weather event or some other circumstances not able to sail to ensure an on-time departure that our customers rely on and are willing to pay for through our premium rate structure. So, I don’t think you are going to see a – we are not thinking that there is going to be any significant additional capacity that’s introduced in a very similar profile in terms of how our ships are going to fill up as the year goes on.
Ben Nolan: Okay. That’s helpful. And then if I could, just sticking with the China side, you talked about in the – on Slide #7 there, freight rates being a little higher in 2024 than you are in 2023. I am curious how much of that is contract versus just sort of your expectation for what the spot would look like?
Joel Wine: Well, I will take the first part of that first, Ben, which is that what we are saying about – we are not interested in saying the rates will be higher than the entire year. What we are saying is right now, rates are at a higher point in January, than they were last January, February. And then they found their pricing level after the Lunar New Year ramp-up towards the end of February into March, April, and then they were pretty consistent throughout the year as we reported throughout the year. So, what we are seeing in general is that the overall demand on the volume and rate side should not be that different in the China business. But that said, except January and February, the rates were higher than where we started. So, that’s the comment about rates for the whole year. And then the question on contracts, we don’t see a significant change in the percentage of contracts. We certainly have important contract with our customers. But the majority of the freight still moves as freight forwarders on short-term one-week, two-week, three-week out basis.
Ben Nolan: Okay. Alright. And then last for me, just on Alaska, you mentioned it a little bit doing – or anticipating perhaps a little bit more business from drilling activity and energy activity and lack – and that had always been, as I recall, a market where you said there might be more touch points that you could add in time as part of the logistics program. Are – either organically or inorganically, are there opportunities emerging to add to what you are doing in the Alaska business here?
Matt Cox: Yes, I think the short answer is yes. I think we – as we talked about it in our prepared comments, I do feel like Matson since the acquisition, 5 years, 6 years ago, have really focused on two areas of growth – or three areas. One, of course, was the acquisition of Span Alaska in our logistics business, and that business has continued to grow faster than market. We have invested in new distribution facilities, two in the state, one in Anchorage and one in Fairbanks that have led to strong growth in that segment. But on the ocean transportation side, really, there are two segments that we focused on. One is the – in the Oil and Gas segment that Horizon Lines, our previous company had not focused very much on, and we are now seeing it as a growing component of our freight flows. And right now, the dynamics in Alaska for exploration and production are good. And we are aware of our customers looking at large multiyear projects, and we expect to benefit from that additional volume in drilling and production. The other one, of course is the seafood exports outside of – on the Aleutian Islands, Kodiak and Dutch Harbor primarily to international seafood markets and buyers in Asia in our scope of services. And so those are the two verticals that we have seen most directly that we have grown ourselves into. And frankly, we continue to see more growth opportunities in both of those segments moving forward.
Ben Nolan: Alright. I appreciate it. Thank you, guys.
Joel Wine: Okay. Thank you.
Matt Cox: Thank you, Ben.
Operator: [Operator Instructions] And our next question will be coming from Jack Atkins of Stephens. Your line is open.
Grant Smith: Hey guys. This is Grant on for Jack. Thank you for taking my questions. Matt, you mentioned natural extension to Matson brand. Previously, I think you guys have talked about that likely coming within the Logistics segment. Could you maybe just kind of update us on what you are seeing related to logistics M&A targets and/or maybe are you seeing opportunities in other tradelanes like South China on the Ocean Transportation side, perhaps as it relates to the events in the Red Sea. Thanks.
Matt Cox: Yes, sure. Thanks for the question. I would say that when we look at brand extensions, I would say we would look to our past to look at both organic growth initiatives, whether it’s our fleet of 53-foot rail boxes growth in those rail services in and out of Mexico, for example, is a new vertical. That’s an organic growth initiative. We have done some small tuck-in acquisitions in the Alaska service. And while we see valuations as continue to be elevated in logistics businesses or base their financial forecasts on elevated profit forecast that were borne out of the pandemic boom. We do keep a watchful eye on good quality businesses that fit our investment profile. I would say right now, there is – well, we are going to keep a close eye on it. We think valuations are still relatively elevated and beyond our underwriting capability. To your point about China, we expanded our service offering, connecting with partners to have direct services from Vietnam, which connect over Shanghai to meet our CLX or our MAX services. We expect continued growth in working with partners to expand the origins of our business out of China into nearby markets. So, those are just a couple of examples of ways in which we expect to continue to grow over time.
Grant Smith: Okay. Great. Thank you, guys for your time.
Joel Wine: Okay. Thank you.
Matt Cox: Thank you, Grant.
Operator: Thank you. And that does conclude the Q&A session for today. I would now like to turn the conference back over to Matt Cox, CEO, for our closing remarks. Please go ahead.
Matt Cox: Okay. Thanks operator. Thanks for tuning in today. We look forward to catching up with everyone at the first quarter call. Aloha.
Operator: This does conclude today’s conference call. Thank you all for joining. You may disconnect.